Operator: Good day and welcome to today's Second Quarter Fiscal 2015 Earning Conference Call. Today's call is being recorded. At this time I would like to turn the call over to Mr. Perry Hayes, Senior Vice President of Investor Relations. Please go ahead, sir.
Perry Hayes: Good day, ladies and gentlemen. And thank you for joining Super Micro's second quarter fiscal 2015 conference call. The company's news release, issued earlier today, is available from its website at www.supermicro.com. In addition, during today's call, the company will refer to a slide presentation that it has made available to participants, which can be addressed in a downloadable PDF format on its website at www.supermicro.com in the Investor Relations section under the Events & Presentations tab. During the company's presentation, all participants will be in a listen-only mode. Afterwards, securities analysts and institutional portfolio managers will be invited to participate in a question-and-answer session, but the entire call is open to all participants on a listen-only basis. As a reminder, this call is being recorded Tuesday, January 20, 2015. A replay of the call will be accessible until midnight, February 3, by dialing 1-877-870-5176 and entering conference ID number 6183825. International callers should dial 1-858-384-5517. With me today are Charles Liang, Chairman and Chief Executive Officer; Howard Hideshima, Chief Financial Officer, and I'm Perry Hayes, Senior Vice President, Investor Relations. Before we start I'll remind you that our remarks include forward-looking statements. There are number of risk factors that could cause Super Micro's future results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2014 and our other SEC filings. All of those documents are available from Investor Relations page or Super Micro's website at www.supermicro.com. We assume no obligation to update any forward-looking statements. Most of today's presentation will refer to non-GAAP financial results and outlooks. For an explanation of our non-GAAP financial measures, please refer to slide three of this presentation or to our press release published earlier today. In addition, a reconciliation of GAAP to non-GAAP results is contained in today's press release and in the supplemental information attached to today's presentation. I'll now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang: Thank you, Perry, and good afternoon everyone. Please turn to slide four. First, let me provide you with the highlights of our fiscal second quarter. We are pleased to announce that we had another record quarter as our revenue have reached $503 million. It's 13.5% higher quarter-over-quarter and 41.2% higher year-over-year. Non-GAAP net income was $33.5 million, or 44.5% higher quarter-over-quarter and 110.9% higher compared to last year. Super Micro's non-GAAP earnings per share was $0.65 per diluted share, compared to $0.46 last quarter or $0.35 last year. Please turn to slide five. As we have always believed for Washington technology combined with robust operation foundation translates into a strong revenue and growth and increased profitability for Super Micro. Last quarter we achieved our fifth consecutive a record high in revenue. With that we’ll reach our goal of achieving $2 billion annual run rate and a continual improvement of our operation profit. Geographically, revenue in the North America was 57%, Europe was 18.2% and Asia was 15.6% of total sales. Our growth in USA continued to be the strongest worldwide. Last quarter, Europe grew in absolute revenue by lower as percentage. In Asia, we continued to see a great potential to grow as we increase our investment in local capacity and manpower. Last but not least, we saw increase in sales in countries such as Canada, Australia, Mexico and region of South America which boosted other region's revenue to 9.2%. Slide 6 please. For products, services have contributed 60.1% of our total revenue which is another record high for our system business. As I have mentioned before, more and more customer make our computer system integrated with software and management utilities offerings. Our computer system business ensures the best quality, one stop shop [TTM] [ph] advantages as well as on-site service for customer who need them, while our distribution and channel business also continue to grow in revenue. With that said, 50% of our business last quarter came from direct customers and OEMs of which 20.3% came from the Internet data center and card providers. Cloud solution demands were not very stronger last quarter. The previous quarter was the official launch of our X10 generation of products based on Intel, Haswell DP processors. We saw very good progress in adoption of this platform with 269% increase quarter-over-quarter in X10 product shipments. The new Ultra server architecture and hot swappable NVMe technology among others, has strongly encouraged customer to move ahead while we are still in the early stage of this technology transition. Now let's turn to market application optimize architecture and performance advantages are driving these significant growth and we see these trend to continue. On our key product line, storage continues to be a needed market vertical for Super Micro with 58% growth year-over-year. In addition to our tradition of storage offerings, we also work with leading technology partners to provide next generation hyper-converged storage solutions and high speed solutions. When we consider the broader storage market, the share of our storage revenue is in the range of 20% of our overall business. Storage indeed plays an important role of our total solution brand and we will continue to focus and invest in this growing segment. On the computing side, we addressed the increasing demand from cloud enterprise and data center industries with our optimized multi product line solutions, our twin architecture including FatTwin and TwinPro Solutions grew 75% year-over-year. We also saw approximately 50% year-over-year revenue increase with our MicroBlade, SuperBlade and MicroCloud products. All of these solutions, of our application optimization reached the maximum performance per watt and per dollars to each customer installation. Looking ahead, we are continuing to deepen our service, storage, technology spectrum by developing the most application optimized and exactly the most energy cost and service efficient platforms. Writing down the success of our storage business, we are developing a new super high-density 4U Rackmount solutions that will house up to 90.5 inch fast array or SATA [ph] hard driver risk with new inclusive features. We are also developing branding solution that can support even higher GPU or Xeon Phi density. And with our [no air] [ph] pre heated, no air pre heated means the system we will be able to achieve higher performance and systems stability with lower energy cost and PCO. This innovative solution will also support our future generations of GPU or Xeon Phi products even as power requirement increase. These two upcoming product line are just a few examples of many great technology now on the [horizon] [ph] from Super Micro. To summarize, we demonstrate industry leading growth by growing 41.2% year-over-year and reaching our milestone of 2 billion annual run rate to us. We will continue to leverage our advantages of leading technology, turn to market and product choice to provide exactly what customer want when they want it. To our customers, we are dedicated to be the one stop shop for basic service storage, total solutions on the market with [indiscernible] global service. To our shareholders, we are committed to deliver industry leading growth with improving profitability. For more specifics on the second quarter, let me turn it over to Howard.
Howard Hideshima: Thank you, Charles, and good afternoon everyone. I will focus my remarks on earnings, gross margins, operating expenses, and similar items, on a non-GAAP basis, which reflects adjustments to exclude stock compensation expenses. Reconciliation of GAAP to non-GAAP is included in the financial statements of the company in today’s earnings release and in the supplemental detail in the slide presentation accompanying this conference call. Let me begin with a review of the second quarter income statement. Please turn to Slide 7. Revenue was a record $503 million, up 41.2% from the same quarter a year ago and 13.5% sequentially. The increase in revenue from last year was primarily due to our increase in our service solutions sales, as partners continue to look for application optimized solutions utilizing the latest technology. On a geographical basis, we had strong growth in the U.S. of 59.7% growth followed by Europe at 7.8%. Although Asia was down 4.4%, we see continued opportunities for growth. Our other region category which includes country such as Canada, Australia, Mexico and South America, grew 380.1% as we are seeing increasing opportunities there as well. The sequential increase in revenue was primarily due to seasonally strong quarter and to our strength and technology and broad product lines which allows us to see strong ramp in the Haswell products. Turning to products mix, the proportion of revenues from server systems was 60.1% of total revenues, which is up from 48.8% the same quarter a year ago and from 57.7% last quarter. ASP for servers was $3900 per unit, which is up from $2700 last year and up from $3600 last quarter. We shipped approximately 78,000 servers in the quarter and 1,115,000 subsystems and accessories. We continue to maintain a diverse customer base with over 700 customers and did represent more than 10% of our quarterly revenues. Cloud and Internet data center revenues was 20.3%, which was an increase from 13.7% in the prior quarter and an increase from 12.9% in the prior year. 57% of our revenues came from the U.S. and 50% from our distribution and resellers. Slide 9. Non-GAAP gross profit was $84.7 million, up 53% from $55.3 million in the same quarter last year and up 22% from $69.4 million sequentially. On a percentage basis, gross margin was 16.8%, up from 15.5% a year ago and from 15.7% sequentially. Price changes from Ablecom resulted in a no basis point change to the gross profit in the quarter with total purchases representing approximately 13.8% of total cost of goods sold, compared to 18.1% a year ago and 14.5% sequentially. The year-over-year increase in gross margins resulted from the ramp of new technology as well as from more complete server sales, increased scale of our business and higher utilization of our Taiwan facility. Sequentially gross margin was up through the ramp of the new technology, as well as increased scale of our business and more complete server solutions. Slide 10 and 11. Operating expenses were $38.6 million, up from $32.3 million in the same quarter a year ago and up from $34.8 million sequentially. As a percentage of revenue, operating expenses was 7.7%, down from 9.1% year over year and from 7.9% sequentially. Operating expenses were higher on an absolute dollar basis primarily in R&D, as we invest in personnel expenses to support the development of our solutions especially in preparation for new technology launch over the past year. Sequentially, operating expenses were higher due to a $1.9 million of value-added tax refund from Taiwan, which we received during the first quarter of fiscal 2015 and higher compensation benefits and product development cost during the quarter as we continue to broaden our solution around the Haswell product launch. The company's headcount increased by 60 sequentially to 1,991 total employees. Operating profit was $46.1 million, up 100.4% from $23 million a year ago and by 33.1% from $34.6 million sequentially. On a percentage basis, operating margin was 9.1%, up from 6.4% a year ago and from 7.8% sequentially. We continue to focus on the many market opportunities in front of us while leveraging the investments we have made in our infrastructure to drive our operating margins and profits. Net income was $33.5 million or 6.7% of revenues, up 110.9% from $15.9 million a year ago and 44.5% from $23.2 million sequentially. On a non-GAAP fully diluted basis EPS was $0.65 per share, up from $0.35 per share a year ago and up from $0.46 per share sequentially. The number of fully diluted shares used in the second quarter was 51,645,000. The tax rate in the second quarter on a non-GAAP basis was 27% compared to 30.5% a year ago and 32.7% sequentially. The rate was lower sequentially due to the retroactive reinstatement of the R&D tax credit in December 2014 which contributed about $0.05 to our EPS. We expect the effective tax rate on a non-GAAP basis to be approximately 32.1% for the March quarter. This rate assumes no reinstatement of the R&D tax credit for calendar 2015. Turning to the balance sheet, on a sequential basis, Slide 12. Cash and cash equivalents, and short and long term investments were $85.9 million, down $34.3 million from $120.2 million in the prior quarter and down $6.7 million from $92.6 million in the same quarter last year. In the second quarter, free cash flow was a negative $44 million, primarily due to inventory and accounts receivable increases described below. Slide 13. Accounts receivable increased by $64.4 million to $258.8 million to support the growth and revenue. DSOs was 41 days, a decrease of 1 day from 42 days in the prior quarter. Inventory increased by $67.7 million to $409.2 million to support the transition to Haswell-based products. Days in inventories were 83 days, an increase of 2 days from 81 days in the prior quarter. Accounts payable was $283.8 million, which was 56 days, an increase of two days from 54 days in the prior quarter. Overall, cash conversion cycle days was 68 days, which is 1 day lower than the prior quarter. Now for a few comments on our outlook. During the second quarter, we continued our see our strong growth, leveraging the foundation we have built over the years and executing our strategy to provide optimized solutions to our customers. As we enter the third quarter, a new technology refresh cycle has started, with many new technologies being introduced. We look to take advantage of our engineering and our broad breadth of solutions to drive our strong growth and profitability. However, it is the seasonally weak quarter for the industry. Therefore the company currently expects net sales for the quarter ending March 31, 2015 in the range of $450 million to $500 million. Assuming this revenue range, the company expects non-GAAP earnings per diluted share of approximately $0.46 to $0.52 for the quarter. At the midpoint, this would represent a growth of 27% and 32% in revenue and EPS respectively, from the prior year. It is currently expected that the outlook will not be updated until the release of the company’s next quarterly earnings announcement. Notwithstanding subsequent developments however, the company may update the outlook, or any portion thereof, at any time. With that, let me turn it back to Charles for some closing remarks.
Charles Liang: Thank you, Howard. The second quarter was another record high for Super Micro, with nearly growth of 41.2%. Even though this was one of our strongest quarter ever, we believe this is just the beginning of our long term growth as we continue to invest and to expand our foundation by growing professional stock and constructing advanced facility worldwide. On the strength of our technology transition, our optimized product line, and our overall market opportunity, we believe we will continue to grow at a multiple over the industry is known and our share in the competition. Operator, at this time, we are ready for questions.
Operator: [Operator Instructions] We'll take our first question from Aaron Rakers with Stifel.
Aaron Rakers: Congratulations on the impressive quarter. I guess the first question is just to kind of touch on the topline revenue growth trajectory. You have crossed through the $2 billion annualized mark. Just curious how you are thinking about the next $1 billion. Are we seeing acceleration and do we kind of see -- are you anticipating any kind of sustained, call it, 20%-plus growth rate here as we move forward? And then maybe I will just throw my follow-up right in right away. How do we also think about that in the context of the operating margin target going forward? I think in the past, you have talked about 6% to 8% and now you have crossed through that with a 9%-plus number here this quarter. And then I will get back in queue. Thank you.
Charles Liang: I believe our feel is, we are continuing to grow consistently especially the Haswell new transition just beginning. However, at Q1 again traditional Fed quarter not only try to conservative. However, for fiscal year 2015 I believe we hope we can achieve $2 billion strongly, - $2 billion for fiscal year. And as operation margin, I believe we will continue to grow. Howard, you may have more detail about it.
Howard Hideshima: And just back to your question again at the mid point of our guidance even for this quarter, we’re seeing about 27% growth from prior year. So again when you talk about that 20% that you threw out there, we were exceeding that with even our current guidance. With regard to the operating margin itself, we are continuing to look at way to leverage that obviously and take advantage of that and further improve our profits going forward.
Operator: We'll go next to Mark Kelleher with D.A. Davidson.
Mark Kelleher: Let me add my congratulations on a great quarter. Want to talk about the -- I guess we're moving down the income statement. Let's talk about the gross margins. That is a pretty significant step up sequentially. Can you talk about what elements were in there? I know you mentioned Grantley was in there. Maybe product mix. I know data centers was big in the quarter, but that carries lower gross margins. Can you just give us some puts and takes on the gross margin? And I would make the follow-up question, what percent of revenue in the quarter was Grantley servers? Thanks.
Charles Liang: Couple of factor to improve our margin, one is new products line. As we just mentioned, Haswell CPU from Intel is still brand new. And with Haswell product line, we introduced some new architectural like [archwad] [ph] architecture, architecture rack and MicroBlade, NVMe or all those new technology we just made them available last quarter. So all those we are continuing to grow. And our [indiscernible] in Taiwan facility and our facility in USA was all improving.
Howard Hideshima: And Mark I think I will just add to that, like I said, we have a number of factors that we talked about with regards to improving our growth margin this quarter we really hit upon a lot of those factors with regards on top of the new technology launched that Charles talked about, complete server solutions were very high at 60%, utilization at Taiwan, growth of our scale of our business, all of those contributed - not to mention services and support and software revenues. So a lot of things went well and in line in with what we were talking about as far as improving our margins going forward.
Operator: [Operator Instructions] We’ll go next to Nehal Chokshi with Maxim Group.
Nehal Chokshi: Thank you. Staying on the gross margin, can you give some directionality for the March quarter, given the strong performance in the December quarter?
Howard Hideshima: Generally, seasonally it's a weak quarter and in past we've seen some margin softness in those quarters. So again, we’ve taken that into account in our models with regards to the guidance that we provided. We do see some softness there. That could be offset by again strength in our technology, strength in growing our scale or whatever.
Nehal Chokshi: Okay. Great. And then congratulations on absolutely stunning growth, especially on the systems. Relative to the midpoint guidance of $460 million, there was a $43 million beat. Could you talk about the drivers of the upside? Was that all on a systems level or was there some component? And then can you drill down within the systems level, perhaps between hyperscale storage system, storage OEMs, and the disruption of the server market from the IBM selling its x86 business?
Charles Liang: Yes. All the factors you mentioned pretty much all positive for our business. So we feel very optimistic to grow in the coming quarters especially the Haswell, again, like I just mentioned still new. And NVMe, that's a brand new technology, also much better performance and latency. So those product line will continue to grow our business for sure.
Nehal Chokshi: Within the quarter, of those four things that I talked about, which ones was the biggest contributor to the year-over-year growth that you are seeing on the systems level?
Howard Hideshima: It would be the, probably power transition. We saw very good ramp with regards to our Haswell-Grantley platforms during the quarter as Charles alluded to the 200 plus percent growth quarter-over-quarter. And that was very good to our positive improvement.
Nehal Chokshi: Okay. Thank you.
Operator: We’ll go next to Rich Kugele with Needham & Company.
Rich Kugele: Good afternoon and congratulations again. I just wanted to ask a question about the inventory and then a follow-up with them. Is the inventory that you brought in raw components on the Grantley side? Were you concerned with availability? And then if you could just talk about when you expect the U.S. buildout of your local manufacturing and R&D to be completed and if you expect any type of material gross margin headwinds from that facility as it goes up?
Howard Hideshima: Rich let's go with the last question first. With regard to the local facility we talked about Xeon Phi, the green computing part that we talk about here. As I mentioned before, we expect to spend about 21 million over the next year to facilitate that up and get the first building completed there during the next year. Again, do we see some drag on it? We will be bringing it up as we need it per say here, so we won't see much drag with regards to that.
Operator: We’ll go next to Mark Kelleher with D.A. Davidson.
Mark Kelleher: Just as a follow-up question. You mentioned the Taiwan manufacturing utilization. Sometimes you give us that number. Can you tell us what that utilization rate is?
Charles Liang: Last quarter our utilization rate I believe was 57%. And looking forward, the utilization will continue to improve and I hope we can reach 80% not too far away.
Mark Kelleher: Okay. Great, thanks.
Operator: We’ll go next to Aaron Rakers with Stifel.
Aaron Rakers: Just to follow on that comment, the 57% utilization, just to be clear, that is a utilization rate on your current existing product line -- your current existing manufacturing lines. Is the 80% also based on that? I guess what I am trying to understand is when do you fully expect to see the benefits of that in your gross margin line?
Charles Liang: Yes 57% of that current and we believe to reach 80% hopefully in next quarter or two. And then we are looking for more space I mean after that.
Aaron Rakers: Okay. And then I think I had heard you mention that you did have a 10% customer in the quarter. Are you assuming that you continue to have a 10% customer in your current guidance or -- maybe any framework of what kind of customer that was, how do you expect that to progress as we go forward.
Charles Liang: We believe this customer will continue to grow and we really hope that and have a strong confidence. At the same time we hope to grow more customer. So Super Micro has been a diversified company in term of product and customer base.
Aaron Rakers: And was that in the Internet and cloud vertical?
Charles Liang: Yes it was.
Aaron Rakers: Okay. Thank you.
Operator: And we’ll go next to Ethan Steinberg with SG Capital.
Ethan Steinberg: Just a couple pieces I wanted to make sure I heard correctly. Did you say $2 billion, roughly, for the year, is what you were hoping for the fiscal year?
Charles Liang: Yes, by end of June right.
Ethan Steinberg: Yes. Okay. And then so 16.8% gross margin was a great breakout quarter. If you look at the new technology transition driving it and the other factors you talked about, it seems like all those are moving in the right direction. We still got a lot of the transition taking place even this quarter. I guess, can you help us think about directionally? Does that mean there is a decent amount more room for gross margin to move up as we get through this year?
Charles Liang: I believe we will continue growing in term of operating margin but it won't be a big change. We've been relatively consistent to mostly growing I believe.
Ethan Steinberg: Okay. And I was actually thinking gross margin. Would you say the same answer?
Howard Hideshima: On the gross margin we are saying was, what we have is this great opportunity to drive growth in our business. So again, while we will look at the operating gross margins and preserve those as best we can, there are opportunities for us to take some market share and we do believe that that will translate to operating margin benefits as we’ve seen over this past 18 months as we put out this model in the past year.
Ethan Steinberg: Okay. But if Grantley goes up as a percentage quite a bit in the quarter you just guided for, wouldn't that have a pretty positive dynamic on the gross margin?
Charles Liang: Possible, but at the same time we are also thinking about our kind of Q1 can be flat quarter and also a surprise for memory hard drive [indiscernible] a nonfactor.
Ethan Steinberg: Okay. Thank you, guys.
Operator: And we'll go to a follow up from Nehal Chokshi with Maxim Group.
Nehal Chokshi: Looking at the balance sheet, Howard, could you run through the DSOs numbers again real quickly?
Howard Hideshima: Sure. DSOs on account receivable were 41 days. The DSOs on inventory were 83 days and the accounts payable DSO was 56 days.
Nehal Chokshi: Okay. So on a quarter-over-quarter basis, I think you said it was flat for the DSOs on the accounts receivable. Is that right?
Howard Hideshima: Accounts receivable were actually one down one day from 41 to - 
Nehal Chokshi: Okay. Okay. Just trying to understand this, because it looks like the accounts receivable was up 33% quarter over quarter, yet the revenue overall was up 13% quarter over quarter. Presuming that my math is correct, is there a higher amount of days receivable for system level revenue relative to component revenue?
Howard Hideshima: Never broken that out Nehal but quite - it's basically on the average. So we are competing on the average. That may help you on the calculation.
Nehal Chokshi: Okay. All right. Thank you.
Operator: And it appears we have no other questions at this time. I’d like to turn the call back over to Mr. Liang for any additional or closing comments.
Charles Liang: Thank you for joining us today, and we look forward to talking to you again at the end of this quarter. Thank you, everyone. Have a great day.